Operator: Good afternoon. My name is Ian and I will be your conference operator today. At this time, I would like to welcome everyone to the Sanmina Corporation's Fourth Quarter 2017 Earnings Call. Thank you. I would now like to turn the call over to Paige Bombino, Vice President of Investor Relations. Ma'am, please go ahead.
Paige Bombino - Sanmina Corp.: Thank you, Ian. Good afternoon, ladies and gentlemen, and welcome to Sanmina's fourth quarter and fiscal year 2017 earnings call. A copy of our press release and slides for today's discussion are available on our website at sanmina.com in the Investor Relations section. Joining me on the call today is Bob Eulau, Chief Executive Officer.
Bob Eulau - Sanmina Corp.: Hi, everyone.
Paige Bombino - Sanmina Corp.: And David Anderson, Chief Financial Officer.
David Anderson - Sanmina Corp.: Hi, everyone.
Paige Bombino - Sanmina Corp.: Following their prepared remarks, we will open the call up for questions. Let me remind everyone that today's call is being webcasted and recorded and will be available on our website. You can follow along with our prepared remarks in the slides provided. During this conference call, we may make projections or other forward-looking statements regarding future events or the future financial performance of the company. We caution you that such statements are just projections. The company's actual results of operations may differ significantly as a result of various factors, including adverse changes to the key markets we target, operational or other inefficiencies, risks arising from our international operations, competition that could cause us to lose sales, reliance on a relatively small number of customers for majority of our sales and other factors set forth in the company's annual and quarterly reports filed with the Securities and Exchange Commission. You'll note in our press release and slides issued today that we have provided you with statements of operation for the three months and 12 months ended September 30, 2017, on a GAAP basis, as well as certain non-GAAP financial information. A reconciliation between the GAAP and non-GAAP financial information is also provided in the press release and slides posted on our website. In general, our non-GAAP information excludes restructuring costs, acquisition and integration costs, non-cash stock-based compensation expense, amortization expense, and certain other infrequent or unusual items to the extant material. Any comments we make on this call as it relate to the income statement measures will be directed at our non-GAAP financial results. Accordingly, unless otherwise stated in this conference call, when we refer to gross profit, gross margin, operating income, operating margin, taxes, net income, and earnings per share, we are referring to our non-GAAP information. I would now like to turn the call over to Bob Eulau.
Bob Eulau - Sanmina Corp.: Thanks, Paige, and thanks again, everyone, for joining us today. Given the challenges we've faced this quarter, I thought I would first discuss some of what happened in Q4 and what we expect for fiscal year 2018. The current environment remains positive for Sanmina. Our pipeline is robust and we have significant new program wins that we are onboarding. Most of Sanmina's operations achieved solid results in the fourth quarter. However, the financials of some of our operations were impacted by the onboarding and production ramp of new programs. These programs are in important markets for Sanmina such as optical and automotive, and the products are complex. Production ramps for some of these new programs were delayed by design changes and production yield issues, and our profitability was not where we expected it to be for these programs. The design changes are especially challenging in the current material supply environment. The production capability for higher volumes is in place, but we did not achieve the overhead absorption that we had anticipated in the Integrated Manufacturing Solutions segment. The good news is that in October, production yields have improved. As revenue increases, we expect significant improvement in our capacity utilization and our efficiency. Sanmina focuses on complex products and they aren't easy to design and build. We collaborate extensively with the market leaders in our focus market segments. I am confident that our customers will succeed with their new products and that we will ultimately benefit from their success. We have both the people and the equipment in place to ramp quickly on behalf of our customers. We expect to see improvements in efficiency and capacity utilization in the next few quarters. We're also taking this time to challenge the status quo throughout Sanmina. Our business strategy remains the same and I'm confident our strategy is the right one for the long term. Our goal is provide competitive advantage to our customers with mission-critical products, services, and supply chain needs, while driving value for customers, employees and investors. Finally, we have a highly motivated management team and loyal employee base that are very focused on improving our performance. A lot of hard work went into putting our current capacity and pipeline in place, and I want to thank all of our employees that have worked hard to position us so well for the future. I'll now let Dave make some comments on the financial results, and then I will follow-up with more specifics in what we're seeing in the market.
David Anderson - Sanmina Corp.: Thanks, Bob. Please turn to slide 3. Overall, our fourth quarter revenue and cash generation were in line with expectations. However, our margins and non-GAAP EPS in Q4 were a disappointment. Our full fiscal year 2017 results were good, with revenue growing at 6%, non-GAAP operating profit dollars up 7%, non-GAAP net income up 12%, and non-GAAP EPS growth of 13% and cash flow from operations of $251 million that was in line with our expectations. For Q4, revenue of $1.76 billion was in line with our expectations, up 2.5% from Q3 and up 5.4% from the fourth quarter of last year. Our non-GAAP gross margin was disappointing, coming in at 7.2% which was down 60 basis points from the third quarter and 70 basis points from the fourth quarter of last year. Non-GAAP operating margin at 3.5% was down 70 basis points sequentially and from Q4 of last year. Non-GAAP EPS was $0.64, which was $0.09 below our expectations for the quarter. This was based on 77.6 million shares outstanding on a fully diluted basis. During the quarter, we used $139.3 million to repurchase a total of 3.8 million common shares. Cash flow from operations was $49.3 million and free cash flow was $24.3 million. I'll discuss cash in more detail in a few minutes. Please turn to slide 4. From a GAAP perspective, we reported net income of approximately $26 million, which resulted in earnings per share of $0.33 for the fourth quarter. This was down relative to last quarter by $0.14 and largely resulted from a $3.4 million increase in stock compensation expense, a $4.6 million increase in asset impairment charges in Q4, and a $4.4 million change in estimate in Q3 for a specific environmental remediation exposure. For the year, revenue finished at $6.869 million (sic) [$6.869 billion], which was up by $388 million or 6%, while GAAP net income decreased by $49 million to $139 million. This was primarily due to $96.2 million tax benefit that was recognized in fiscal 2016. Accordingly, GAAP earnings per share for the year were $1.78 versus $2.38 last year. The restructuring costs for Q4 were $1.2 million and were $1.3 million for FY 2017. These are ongoing costs related to previously closed plants. My remaining comments will focus on the non-GAAP financials for the fourth quarter and fiscal year 2017. At $126.4 million, gross profit was down $6.7 million from the prior quarter. Gross margin came in at 7.2%, which was 60 basis points lower than we reported in Q3. Operating expenses were up $3.5 million for the quarter at $65.2 million. This was mainly driven by higher incentive compensation that was partially offset by lower professional services fee. This represents a 10 basis point increase in operating expenses as a percentage of revenue compared to Q3. At $61.1 million, operating income decreased by 14.4% from the prior quarter and 11.8% from Q4 last year. Operating margin was 3.5%, which was down 70 basis points from last quarter. Other income and expense of $3.4 million was down $922,000 when compared with last quarter and down $1 million or 23% from the fourth quarter of last year. The tax rate for the quarter was 13.8% of pre-tax income, which was slightly better than our expectations. On a non-GAAP basis, we earned $49.8 million in net income or $0.64 per share. Earnings per share were down 13.5% from Q3 and down 10.8% from Q4 of last year. Please turn to slide 5, where we are providing more information on the Integrated Manufacturing Solutions segment. The Integrated Manufacturing Solutions segment represents printed circuit board assembly and test, final system assembly and test, as well as direct order fulfillment. As you can see from the graph on the right, the IMS segment revenue was up $32 million from last quarter at $1.44 billion. Our gross margin decreased by 1.1 percentage points from Q3 to 6.5%. This was driven by new program ramps that are taking longer than anticipated to ramp as a result of design changes, supply constraints, and lower than expected yields which led to under-absorption in some of our IMS plants. On slide 6 is our second segment, Components, Products and Services. Components include printed circuit board fabrication, backplane assemblies, cable assemblies, enclosures, precision machining, and plastic injection molding. Products include computing and storage products, defense and aerospace products, memory and SSD modules, as well as optical and RF modules. Services include design and engineering as well as logistics and repair services. In aggregate, the revenue for this segment was up $8 million to $365 million, with gross margin improving 1.5 percentage points from Q3 to 8.8%. This was a solid improvement quarter-over-quarter. We expect to continue this trend as we work to drive the Components, Products and Services segment back to the double-digit gross margin level. On slide 7, we're showing you key non-GAAP P&L metrics. Revenue increased 2.5% from last quarter and 5.4% over Q4 of last year to $1.755 billion. This is the highest level of quarterly revenues since Q3 of 2008. Gross profit decreased 5% from last quarter to $126.4 million. Gross margin at 7.2% was down 60 basis points from last quarter. Our operating profit decreased 14.3% from last quarter to $61.1 million. This led to operating margin of 3.5% and a decrease from Q3 in non-GAAP EPS of $0.10 to $0.64. Please turn to slide 8. Here, we are showing these same P&L measures on an annual basis. For FY 2017, our gross profit was up $12.5 million to $531.5 million. Our gross margin was 7.7% for the full year. Our full year gross margin has been in the range of 7.7% to 8% over the last three years. Our operating profit was $275 million for the year, which was up $18 million or 7% from FY 2016. Operating income is up 47% since FY 2013. Our operating margin for the year was flat last year, and up 80 basis points since FY 2013, definitely trending in the right direction. Overall, non-GAAP EPS grew 13.2% from last year to $2.87 and has basically doubled from FY 2013's level of $1.44. We are proud of these annual results, but we believe we can do better as we continue executing on our strategy of drawing a better mix of business and ramping new programs. Now, I'd like to turn your attention to the balance sheet on slide 9. Our cash and cash equivalents were $407 million at the end of the year. Cash was down $29 million from the previous quarter. Accounts receivable were up $74 million and inventory was basically flat to the last quarter. We'll talk more about inventory in a moment. From a liability standpoint, we had a $24 million increase in accounts payable during the quarter. Our short-term debt was up $85 million from last quarter, and we purchased $139.3 million worth of common shares. Specifically, we repurchased approximately 3.8 million shares at an average price of $36.45 per share. From a long-term debt perspective, as of the end of the year, we had $391 million. At the end of the quarter, our gross leverage was approximately 1.2. Overall, our balance sheet and capital structure continue to be in great shape. Please turn to slide 10, where we will review our balance sheet metrics for the fourth quarter. Cash was down $29 million from Q3, but very consistent with prior quarters. Cash flow from operations for the quarter was positive at $49.3 million, and net capital expenditures for the quarter were $25 million. This led to $24.3 million in free cash flow. Inventory dollars were basically flat to last quarter at $1.052 billion, while the inventory turns were at 6.2, which was up 0.1 of a turn from Q3. Compared to Q4 of last year, inventory turns were down 0.4 turns. Inventory turns continue to be a challenge, largely driven by new product ramps and material shortages as we saw lead times start extending out again on certain commodities such as memory and capacitors. We continue to focus our operations on our inventory turns, and think that there's still plenty of opportunity for improvement in FY 2018. In the lower left quadrant, we're showing cash cycle days, which combines our cycle time for inventory, accounts receivable, and accounts payable. Overall, cash cycle time increased from 42.3 days last quarter to 42.8 days. This change was mainly driven by an increase in our accounts receivable days sales outstanding that was partially offset by improvements in accounts payable days outstanding and inventory days. On a full year basis, our cash cycle days were up slightly from 42.2 days last year to 42.8 days in Q4 of this year. Finally, pre-tax ROIC declined to 19.9% from the prior quarter. Compared to the fourth quarter of last year, pre-tax ROIC declined 3.8 percentage points. This decline resulted from the reduction in annualized operating profit, combined with the increase in net invested capital. Please turn to slide 11. I want to take a couple of minutes to reflect on our longer term cash generation and what it has allowed us to do over the last four years. FY 2017 cash flow from operations was strong at $251 million, and in line with our expectations. As you can see, our cash generation has been strong for the last four years. In fact, in the last four years, our cash flow from operations was outstanding as we generated over $1.1 billion. During this same four-year period, our free cash flow was around $749 million. This cash generation is the driving force behind our ability to reduce our long-term debt, invest in capital equipment, repurchase equity, and fund small strategic acquisitions. In the pie chart on the right, we're showing how we invested the cash flow from operations over the last four years. We do not anticipate any material debt reduction in FY 2018, but we do anticipate continuing our share repurchase program and funding small strategic acquisitions. Please turn to slide 12. Our net capital expenditures have recently been in the $110 million to $120 million range as we've been growing our business. We expect this trend in our net capital expenditures to continue into FY 2018 and beyond as we continue to grow our business. Please turn to slide 13. With all of the progress that we have made in the last few years reducing our debt, the balance sheet is in excellent condition. This coupled with the strong cash generation has given us the opportunity to repurchase a substantial amount of our common stock over the last four years. Over the last four years, we have repurchased approximately 21.1 million shares at a total cost of $497 million. In September, the board of directors authorized an incremental $200 million program. This brings the total outstanding authorization to $253 million. We expect to continue to generate cash in the coming years, and we will remain focused on creating benefit for shareholders with the cash we generate. Please turn to slide 14. I would now like to share with you our guidance for the first quarter of fiscal year 2018. Our view is that revenue will be in the range of $1.75 billion to $1.8 billion. On a non-GAAP basis, we expect that gross margin will be in the range of 7.3% to 7.7%; operating expense will be $64 million to $66 million. This leads to an operating margin in the range of 3.6% to 4%. We expect that other income and expense will be in the range of $4 million to $6 million. Our tax rate should be around 14.5%. And we expect our fully diluted share count to be around 76 million shares, plus or minus a 0.5 million shares. When you consider all of this guidance, we believe that we will end up with non-GAAP earnings per share in the range of $0.68 to $0.74. Finally, for your cash flow modeling, we expect the capital expenditures will be around $50 million, while depreciation and amortization will be around $30 million. Overall, we are pleased with the full fiscal year of 2017. We executed well for most of the year and our diversification and strong pipeline position us well going into FY 2018. We grew revenue by 6%, but we were able to grow our non-GAAP EPS by 13.2% and generate excellent cash flow from operations in line with our expectations. Profitable long-term growth continues to be our number one objective, and it is imperative that we continue to stay focused on growing with the right kind of business. At this point, I will turn the discussion back over to Bob for more comments on our target markets and our overall business strategy.
Bob Eulau - Sanmina Corp.: Thanks, Dave. I'd like to provide some additional comments on our end markets and how we are positioned for the future. As we have stated in prior quarters, we continue to diversify our end markets and customer base, increase vertical integration, and enhance our value to customers. Please turn to slide 16. I will now discuss our quarterly results by end market. Industrial, medical, and defense was 43% of our revenue, or $758 million, and flat sequentially. We had expected industrial, medical, and defense to be up for the quarter. However, in addition to normal fluctuations, we had one customer with demand lower than originally forecasted. And while small, our oil and gas business was also impacted by the hurricane in Houston. Communications networks was at 41% of revenue or $714 million, up 6.5% sequentially, and in line with expectations. Growth in this segment was driven by new program wins in wireless infrastructure and optical networks. Embedded computing and storage was 16% of revenue or $283 million, up 1.3% sequentially. Growth came from computing, storage, and automotive. Let's move to slide 17. We're showing you a chart that illustrates the diversification of our end markets since 2013. We continue to focus on markets where we meet the technical requirements and we can provide the expertise to add value for our customers. On an annual basis, industrial, medical, and defense saw nice growth and was up 10.4%, while representing 45% or $3.1 billion worth of our business this past year. Growth was mainly driven by the industrial and medical segments as new programs came online. Communications networks grew 9.8%, driven by growth in optical and solid demand in wireless networks on new programs. I'm pleased to say that Sanmina is now successfully shipping 400 gigabit optical products to two customers. Embedded computing and storage was down 11% as a result of a continued decline with customers in the point of sale and set-top box portion of this segment. This decline was somewhat offset by growth in storage and automotive. In the fourth quarter and fiscal year 2017, our top ten customers represented 54.4% and 52.9% of revenue, respectively. For the full fiscal year, Nokia and Motorola Solutions each represented more than 10% of our revenue. Now let's turn to slide 18, where we will discuss our outlook for the first quarter of fiscal 2018. We expect the industrial, medical, and defense segment to be up nicely in the first quarter, driven by broad based customer growth. This segment should continue to grow in 2018. With communications networks, we expect to be down slightly in the first quarter coming off a very strong fourth quarter. We expect growth in 2018 based on the pipeline of new product introductions and demand expectations from a number of customers. We expect embedded computing and storage to be up in the first quarter based on new product ramps in automotive. We expect fiscal 2018 to be a solid year of growth for automotive business as we continue to ramp new programs with customers in this segment. Automotive is a growth opportunity that fits with Sanmina's strategy of providing value-added services for customers with stringent quality and regulatory requirements that require a specialized skill set. Please turn to slide 19. We delivered revenue of $1.76 billion, in line with our original guidance, and solid cash generation for the quarter. Profitability was a disappointment as we were impacted by new program introductions that are taking longer than anticipated as a result of design changes, yields, and supply constraints. Sanmina focuses on mission-critical, high reliability complex products with a lot of engineering content. We anticipate gradual improvements and expect to be in a healthier position in the second half of fiscal 2018. These programs are key drivers to Sanmina's growth going forward and we're excited about the opportunities in the coming years. Overall, fiscal 2017 was a successful year. We achieved year-over-year revenue growth of 6%, operating profit was up 7%, net income increased 12%, and non-GAAP earnings per share stand at 13%. We have delivered four years of consecutive improvement in revenue, gross profit, operating income, and earnings per share and we expect growth again in fiscal 2018. We continue to diversify our markets and focus on customers and programs that offer the greatest return. We have a number of new programs ramping and the pipeline remains healthy. Our strategy continues to work as we are winning new business and further diversifying our markets with a focus on mission-critical products where we can provide more value to our customers. We will continue to look for opportunities to drive profitability while maintaining the capacity for growth. I am confident in our ability to accomplish these goals and achieve a solid, profitable year. We have a great culture of focusing on exceeding our customers' expectations. Every day we must look for, and execute on, opportunities that create value for our customers. I believe our technical capabilities, global and U.S. footprint, and financial strength positions us well for the future. The essential elements for success are in place and I'm excited about the opportunities that lie ahead. So for fiscal year 2018 we are confident that we can continue to grow both revenue and profit while focusing on serving our customers well. Thank you for your time and support and operator we are now ready to open the line for questions.
Operator: Certainly. Our first question is from the line of Ruplu Bhattacharya from Bank of America.
Ruplu Bhattacharya - Bank of America Merrill Lynch: Hi. Thank you for taking my questions.
Bob Eulau - Sanmina Corp.: Yes. Hi, Ruplu.
David Anderson - Sanmina Corp.: Hi, Ruplu.
Ruplu Bhattacharya - Bank of America Merrill Lynch: Hi. How are you? Bob, you mentioned three things: yield issues, design changes, and material constraints. First question is were these in specific end markets, like which end markets were impacted because of these?
Bob Eulau - Sanmina Corp.: Yeah. So the two end markets that we had the most new product introduction activity going on were automotive and the optical networking space.
Ruplu Bhattacharya - Bank of America Merrill Lynch: Okay. And then you talked about the yield issues having improved in October; how about the design changes? And can you talk about the material constraints?
Bob Eulau - Sanmina Corp.: Yeah. So actually let me talk about material first. What we saw during the course of the year, if you think back, in March we saw lead times extending out on us. In the June quarter, I would say the lead times stabilized and in the September quarter, in some cases, we saw lead times extending out again. So I think that's kind of the scenario that we're in. We're seeing a number of component areas that have lead times greater than 80 days right now. At the beginning of the year, there were about 5% of our parts in that state, and now it's closer to 25%, so, so lead times definitely extended out in September. We don't know exactly what's going to happen in the next couple of quarters, but we do hope things start to get better. And then in terms of design changes, we've been working closely with our customers. As I mentioned, we're dealing with very complex products, and we oftentimes have design engineers on the floor helping us to debug and get to root cause on design challenges, so I think that we'll start to see more and more progress there and that's part of why we're seeing the yields improve.
Ruplu Bhattacharya - Bank of America Merrill Lynch: Okay. And maybe the last one from me, just on the optical market, any thoughts on that? Are you seeing any slowdown in optical? I think you mentioned you got some new programs in optical, so just maybe give us your thoughts on what you think the market is going to do, and what you think Sanmina can do in the optical market?
Bob Eulau - Sanmina Corp.: Yeah. I mean, as always, that's probably a better question to ask our customers, but as you know, we have a really significant optical footprint. And we – for the year, our optical footprint, which is all the way from passive and active components up to full system, grew close to 20%. However, in the fourth quarter, we did see a decline sequentially from the third quarter. So we did see some softness there. As I mentioned, we are shipping 400 gigabit product now, and we think the market is beginning to transition there and we should be well positioned as more new product come to market there.
Ruplu Bhattacharya - Bank of America Merrill Lynch: Okay. Thank you.
Bob Eulau - Sanmina Corp.: Sure.
Operator: And our next question is from the line of Sean Hannan from Needham & Company.
Bob Eulau - Sanmina Corp.: Hi, Sean.
David Anderson - Sanmina Corp.: Hi, Sean.
Sean K. F. Hannan - Needham & Co. LLC: Yeah, hi, folks. It's Sean Hannan, yes. So other than some of these yield issues, design issues, et cetera, so it sounds like year-to-date you folks didn't get out as much product through the door as you had hoped. So how material were these mentioned issues in terms of impacting the top line for the fiscal fourth quarter and first quarter, can you size that as well as the GM impact because it looks like maybe you're going to gain within your guide only about 10 basis points or so, if I'm interpreting your guidance correctly? So just a little bit more color around how that's impacting here in both these quarters we're discussing.
David Anderson - Sanmina Corp.: Yeah. So it's David Anderson here. In the quarter, because of these issues, we actually ended up with more of a significant under-absorption in these plants, and the impact was about 1.1 percentage point drop in our margins on the IMS business which is where the significant impact was. And in terms of the actual going into our guidance as we said there in our guidance, we're guiding 7.3% to 7.7% in the gross margin. So we're expecting some of this to get corrected in the Q1 timeframe. But as Bob mentioned, it's going to be dependent upon our ability in terms of the yields going forward. I don't know, Bob, if you want to add?
Bob Eulau - Sanmina Corp.: Yes. No, I think that was a good description, and we have more new products coming as well. So we definitely are excited about this. It's exactly the kind of challenge that we wanted to have. But it is a challenge, and we have to get up our learning curve, and we have to get our yields up.
Sean K. F. Hannan - Needham & Co. LLC: Okay. And then a follow-up actually on that comment. What should we expect in terms of program ramps from here in 2018? And you often discuss some early insight in terms of the year for how it might shape for revenues, whether you'd expect some sequential progression. I believe that there was some color commentary around an expectation that the back end of the year should look at little bit strong. But any bit more insight you could provide around how to think about fiscal 2018 at this point?
Bob Eulau - Sanmina Corp.: Well obviously, we gave guidance for the first quarter and we're expecting to see some improvement in Q1. I did say I expect the second half to be quite a bit healthier than the first half. So it's a matter of getting up these ramps. We can't fully anticipate all of the technical issues, nor do we know exactly what the supply situation's going to be, but we are definitely doing more. We are bringing new programs to market. And I know that it will be a good set of challenges for us, but I also know that we'll meet the challenge.
Sean K. F. Hannan - Needham & Co. LLC: Okay. Thanks, folks.
Operator: And our next question is from the line of Mitch Steves from RBC Capital Markets.
Bob Eulau - Sanmina Corp.: Hi, Mitch.
Mitch Steves - RBC Capital Markets LLC: Hi, guys. Thanks for taking my question. So I kind of want to circle back to kind of the operational efficiencies. You guys mentioned that that was a pretty big driver to the margin line. And so it looks like that's going through to next quarter. So when should we see kind of the program ramps and the issues, the yield issues there abate? Should that be kind of the next quarter, or is this going to be a longer term theme?
Bob Eulau - Sanmina Corp.: Well, as I mentioned in my comments, I think we'll definitely have a healthier second half. We're already making progress on yield. I don't want you to believe that we haven't made progress. Even in October, we saw some pretty significant improvement. But we also have new programs still coming. So it's exactly what we wanted. We won some good new business and I'm very confident we'll be able to execute, and by the second half we'll be in a very solid position.
Mitch Steves - RBC Capital Markets LLC: Got it. And then circling back to kind of the industrial segment, you mentioned that there was a single customer there, or I guess maybe you can't name the customer, but what would be kind of the main guys in the industrial segment that could cause a material miss to revenue like what happened this quarter?
Bob Eulau - Sanmina Corp.: Yeah, I really don't want to get in the business of calling out customers, but we always have ups and downs with customers across the board, and we just had in one case a customer that caused us not to hit our revenue we expected in that segment.
Mitch Steves - RBC Capital Markets LLC: Yeah, let me try a quick one then. So is it industrial, medical, or defense, just given that there's three segments? It's pretty difficult to compare.
Bob Eulau - Sanmina Corp.: Yeah, again, I really don't want to go down that path. I apologize, but we just try to give you an idea. It wasn't multiple customers, It was one customer that caused us not to grow there.
Mitch Steves - RBC Capital Markets LLC: Okay. You got it. Thank you.
Bob Eulau - Sanmina Corp.: Sure.
Operator: Our next question is from the line of Jim Suva from Citi.
Bob Eulau - Sanmina Corp.: Hi, Jim.
David Anderson - Sanmina Corp.: Hi, Jim.
Jim Suva - Citigroup Global Markets, Inc.: Thanks very much. Hey, good evening. First of all, I would have thought a design change would have been more absorbed by the client for the issues, or the customer for the issues, or maybe something's changed there. And then second of all, why won't these new programs that you have coming on in the next couple quarters also pose the challenges that you're seeing today and next quarter?
Bob Eulau - Sanmina Corp.: Yeah, so two good questions, Jim. So in terms of design changes, I mean, the issue is we've got the capacity in place now. So we just didn't get to the volumes that we thought we were going to have at this point in time. So I think that situation will improve as we get the yields up and the volumes going. And our customers are participating with us in terms of improving the yields. And then in terms of how we move forward, again, we're expecting that we'll continue to ramp on new programs in the first half, and we expect second half to be quite a bit better.
Jim Suva - Citigroup Global Markets, Inc.: And your guidance for the first quarter out, for the December quarter, are the majority of those challenges with the ramps all into that quarter, or will they also be kind of the March and June? Because when you say second half of the year I assume you mean fiscal year and not calendar year.
Bob Eulau - Sanmina Corp.: Right, I was referring to fiscal year. And as I said, we've already made progress. Even in October, there's measurable progress in yields, but, and we'll make more progress on the products we've already got and then we have more programs coming, so I expect the first half will be characterized by a lot of NPI activity.
Jim Suva - Citigroup Global Markets, Inc.: Great. Thanks so much for the details, it's greatly appreciated.
Bob Eulau - Sanmina Corp.: Thanks, Jim. So we've got time for one more question.
Operator: Certainly. Our next question is from the line of Steven Fox from Cross Research.
Bob Eulau - Sanmina Corp.: Hi, Steve.
David Anderson - Sanmina Corp.: Hi, Steve.
Steven Fox - Cross Research LLC: Hi. Good afternoon. Just two questions from me. So, just to be clear, Bob, a couple times now you've mentioned that you have more new programs coming, but the yield issues were not something that was systemic, was it, it was specific to the programs? In other words, is there something that we should think about programs ramping less efficiently this year or is that a misinterpretation? And I had a follow-up.
Bob Eulau - Sanmina Corp.: Well, it was specific products with our customers. And most of the ramps are in two areas where they're very complex products, optical networking and in automotive. And those are exactly the kind of challenges, as I mentioned, that we want to take on. So – and we've already made progress as I said a couple of times. So I think that we'll get up the learning curve, the yields will continue to improve, and at the same time, we'll have some more new programs coming on this year.
Steven Fox - Cross Research LLC: Okay. And then just quickly on materials. So you mentioned that materials that are tight has increased about 25% of your parts. So you mentioned memory and capacitors. Can you just sort of give us a sense of what other materials? And then what you're doing to sort of address it so that it doesn't result in under absorption later in the year?
Bob Eulau - Sanmina Corp.: Well, there's only a certain amount we can do in terms of supply. A lot of it is making sure that we get good solid forecasts, and that we're executing against those forecasts. The reason why it comes into play when you have a lot of new programs is, in some cases, the components can change. And that's what impacted us this quarter. So we think that the market for certain commodities will get better as we go through the next few months, but we can't be certain. And I would say it was still fairly broad based across a number of semiconductors. And as Dave mentioned, memory, flash, resistors, capacitors. It's fairly broad based.
Steven Fox - Cross Research LLC: Okay. Thank you very much.
Bob Eulau - Sanmina Corp.: All right. Thank you.
Bob Eulau - Sanmina Corp.: All right. Thanks, everybody. We really appreciate your time today. We'll talk to you soon.
David Anderson - Sanmina Corp.: Thank you.
Operator: Ladies and gentlemen, thank you for joining us for the Sanmina Corporation's fourth quarter 2017 earnings call. You may now disconnect.